Operator: Good day and welcome to the Kimco Realty Corporation First Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. David Bujnicki, Senior Vice President, Investor Relations and Strategy. Please go ahead.
David Bujnicki: Thanks so much. Good morning and thank you for joining Kimco’s first quarter earnings call. With me on the call this morning is Conor Flynn, Chief Executive Officer; Ross Cooper, President and Chief Investment Officer; Glenn Cohen, CFO; Dave Jamieson, Chief Operating Officer, as well as other members of our executive team including Milton and Ray Edwards. As a reminder, statements made during the course of this call maybe deemed forward-looking. It is important to note that the Company’s actual results could differ materially from those projected in such forward-looking statements due to a variety of risks, uncertainties and other factors. Please refer to the Company’s SEC filings that address such factors. During this presentation, management may make reference to certain non-GAAP financial measures that we believe help investors better understand Kimco’s operating results. Examples include, but are not limited to, funds from operations and net operating income. Reconciliations of these non-GAAP financial measures are available on our Web site. With that, I'll turn the call over to Conor.
Conor Flynn: Thanks, Dave and good morning, everyone. Today I will provide a high level overview of our first quarter 2017 performance and current market trends. Ross will then cover our transactions this quarter and Glenn will provide details on key metrics and 2017 guidance outlook. To paraphrase [Mark Lane] [ph], reports of the death of retail real estate have been greatly exaggerated and Kimco's strong first quarter is living proof. Five years ago we embarked upon a major program to improve the quality of our portfolio focusing on areas with significant barriers to entry, higher density in incomes, strong retailer demand emphasizing grocers and off-price retailers. Our leasing volume has validated the success of our transformation in helping to offset the challenging retail environment the industry is currently experiencing. As an example of our strengthened portfolio, which given the size and diverse locations has always been defensive in nature, our top five markets which are entirely coastal contribute 50% of our rental revenues versus 35% when we began our transformation. Today, we are experiencing the rightsizing of the retail landscape as numerous chains announces store closures and embrace the Omni-channel experience that consumers have come to expect and demand. While e-commerce is not nearly as profitable as the physical store, retailers understand that in an on-demand world those who offer a frictionless experience regardless of channel will thrive as consumers continue to spend at record levels. A few of our retailers are starting to effectively evolve their business models to take advantage of their brick-and-mortar retail, offering discounted services and pricing for online orders shipped to the physical store that cannot be matched by a pure online retailer. Wal-Mart and Home Depot are the perfect example of this. As Milton is fond of saying, when it comes to retail real estate the only constant is change. And Kimco is adapting to this evolving landscape by working hard to deliver both the product and an experience to tenants and shoppers commensurate with this new world order. And that is why at many of our sites, you will see more health and wellness, more service providers, more food and restaurants, more entertainment and more experiential retailing. Our leasing volume is the highest in ten plus years. Our team is laser focused on this most important part of our business. We are constantly challenging our entire team to do even better and they have. We backfilled five former Sports Authority boxes this quarter and continue to see demand from the remaining locations, from grocers, off-price, fitness and entertainment concepts. Despite the normal seasonal vacancies usually experienced in the post-holiday season, our gross occupancy remained flat quarter-over-quarter. More importantly, leasing spreads remain strong fueled by the significant mark-to-market opportunities embedded in our portfolio. And while retailer weakness is dominating the media, many retailers, a majority of them our tenants, are thriving. Of our top 20 tenants, seven have recently hit all time highs in their stock price and many have large new store opening plans. For example, TJX, Ross and Burlington in aggregate have announced expansion plans in excess of 300 stores. While we are not immune from store closures, we continue to believe we are in the sweet stop of retail and will continue to generate interest from high quality tenants that will drive more traffic and more sales to the surrounding retail stores. We have build our business plan, the 2020 vision, with a focus on balance sheet strength and the ability to deliver sustainable cash flow growth in different cycles. The good news is, the plan is working. The balance is strong and affords ample financial flexibility and we have created a portfolio and pipeline with multiple levers that would deliver both organic and value creation for the foreseeable future. Of particular note is our development and redevelopment pipeline which is starting to bear fruit, highlighted by our Grand Parkway project in Houston, which is now open for business. Our redevelopments, a core competency of Kimco, are expected to incremental returns of 9% to 12% and we have several major redevelopment projects underway that will create additional flagship assets with high growth profiles. We believe investing in our business and growing organically is the right way to create long-term shareholder value. As I said earlier, we have a plan and the plan is working. And now I will turn the call over to Ross.
Ross Cooper: Thank you, Conor. The first question transaction activity has been a continuation of our 2020 vision goals and objectives which includes a disciplined approach towards acquisitions and dispositions. The acquisition environment remains ultra-competitive with opportunities hard to unearth as the pricing power for high quality core assets remains in favor of the seller. While this is no surprise in the major markets of Southern California, New York Metro and other coastal gateway regions, we have more recently seen bidding wars for institutional assets take place in Chicago, Minneapolis, Houston and Dallas. We remain steadfast seeking opportunities to selectively buy assets that fit the disciplined strategy we have set forth. One such example is Plaza Del Prado in the affluent North Shore of Chicago. This unique asset provided immediate upside with the renewal of a bank outparcel at ten times the prior rent, as well as the ability to create future value through a possible early lease extension with a grocery anchor and a new outparcel. There is also an incremental lease-up opportunity at the site with LOIs already underway just 90 days into the acquisition. Adjacent parcel acquisitions remain a focus for us as we closed on the purchase of a former Staples box at our Columbia Crossing shopping center in Columbia, Maryland. Sandwiched in between T.J.Maxx and DICK'S, we have already executed a lease with HomeGoods at an attractive return on investment. As Conor indicated in his remarks, the retail environment is changing and it is imperative that we continue to evaluate future investments with an eye towards the evolving dynamics. We have directed our investment team to focus on those assets with a strong growth trajectory, either from below market leases or adaptable site plans with redevelopment potential, as well as considering existing and perspective tenant quality and space needs. Regarding new development opportunities, we are taking a strict and cautious approach and believe that urban core, infill retail projects with multifamily or other vertical development opportunities are the future. The investment in Lincoln Square in Center City, Philadelphia, fits the mould. Our investment was made alongside Alterra Property Group, our partner who has significant multifamily development and management experience. We entered the project with substantial leasing interest already in place which we helped to finalize into executed deals prior to closing, including a small format Target, PetSmart and an exciting specialty grocer. In addition, we had secured in place entitlements which enabled us to break ground the day after closing on the land. The development of 322 multifamily units above the retail provides for the urban infill, mix use environment that we believe will pay dividends into the future. On the disposition side, the first quarter sales amounted to $113.2 million of gross value with KIM's share of $65.8 million. The blended cap rate on the 8 centers sold was approximately 7.5%. Currently we have several assets on their contract in the low 6s and even sub-six cap rate in a few cases, highlighting the quality of the remaining assets for sales. In terms of our 2017 acquisition and disposition guidance, we remain comfortable with the dollar amounts and cap rates previously established. We remain focused on continuing to further enhance and upgrade the portfolio through a disciplined capital recycling strategy. Glenn will now walk you through this quarter's financial results.
Glenn Cohen: Thanks, Ross and good morning. As we begin the second year of our 2020 vision strategy, we remain confident about achieving the objectives set out in our five year plan. Our transform portfolio and internal growth levers remain solid and we are well positioned to deliver growth as lease-up continues and redevelopments and developments come on line. 2017 is off to an excellent start with strong first quarter operating and financial results. NAREIT FFO per share was $0.37 for the first quarter 2017 compared to NAREIT FFO per share for the first quarter 2016 of $0.38, which included $0.01 per share from our preferred equity profit participation. FFO as adjusted or recurring FFO, which excludes non-operating impairments and transactional income and expense was $155.8 million for the first quarter of 2017 as compared to $152.9 million for the same quarter last year with $0.37 per diluted share from both quarters. Our results were favorably impacted by increased base rents, improved bad debt expense totaling $7.5 million and the implementation of our strategic initiatives which lowered interest expense, G&A and tax expense by $11.1 million. Offsetting these positive factors were lower lease termination fees, reduced below market rent amortization and lower FFO contribution from joint ventures. Our modest growth reflects last year's disposition of Canadian and U.S. properties totaling $982 million and the investment of over $390 million in our development pipeline, which will begin to generate NOI and FFO in the second half of this year as our first completed development project, Grand Parkway comes online. Our four other active development projects, Dania, Christiana, Owings Mills and Lincoln Square will begin to come on line at various points during 2018 and 2019 and will be key contributors to our future growth. Our operating portfolio continues to perform very well. U.S. occupancy is a healthy 95.3% with anchor occupancy steady at 97.3% and small shop occupancy at 89.6%. So down 30 basis points from year-end. This modest decline is typical for the period directly after the holiday season. U.S. occupancy is down ten basis points from year-end. First quarter occupancy was impacted by approximately 70 basis points relating to the remaining Sports Authority vacancies. We have leased a total of 14 former TSA boxes and have LOIs or active prospects on 11 of the remaining [13] [ph] TSA boxes. Leasing activity during the quarter was brisk delivering new leasing spreads of 17.9%, renewals and options exercised at 10.1% and combined leasing spreads of 10.9%. Same-site NOI growth was positive 2.2% for the first quarter, driven by minimum rent increases of 150 basis points and improved credit loss of 130 basis points, offset by lower recoveries of 80 basis points. The comparable lower recoveries are attributable to a significant real estate tax refund received last year of one of our properties. Same-site NOI growth includes ten basis points from redevelopments. In addition, there was no impact on first quarter same-site growth from the Sport Authority bankruptcy as we had previously reserved the TSA rents in the first quarter 2016. We continue our efforts to enhance our balance sheet. We completed a new $2.25 billion revolving credit facility with borrowings priced at LIBOR plus 87.5 basis points. This new 5-year facility with a final maturity date in 2022, replaces our $1.75 billion revolving credit facility which was priced at LIBOR plus 92.5 basis points and was used to repay our maturing $250 million bank term loan which was priced at LIBOR plus 95 basis points. Also we issued a $400 million ten-year unsecured bond at a coupon of 3.8%. Proceeds from this instrument were used to repay our maturing 2017 mortgage debt with a weighted average interest rate of 5.71%. Our weighted average debt maturity profile now stands at almost nine years, one of the longest in the REIT industry. We are reaffirming our FFO per share guidance range of $1.50 to $1.54. Our guidance range does not include any transactional income or expense which we will incorporate as it occurs. As a result, our NAREIT defined FFO per share guidance range and our FFO as adjusted per share guidance range, remain the same. We are also reaffirming our full year 2017 same-site NOI growth range of 2% to 3% which includes the negative impact we expect to incur from the Sports Authority bankruptcy of approximately 225 basis points in the second quarter. In addition, we are reaffirming our expected year-end occupancy range of 95.8% to 96.2%. And with that, we would be happy to answer your questions.
David Bujnicki: We are ready to move to the Q&A portion of the call. To make the Q&A more efficient, you may ask a question with one additional follow up. If you have additional questions, you are more than welcome to rejoin the queue. Bill, you can take our first caller.
Operator: [Operator Instructions] Our first question comes from Craig Schmidt of Bank of America. Please go ahead.
Unidentified Analyst: This is [Justin] [ph] in for Craig. Could you talk about your densification efforts and maybe what we could expect in both the near and long-term.
Conor Flynn: Absolutely. I think we have been pretty consistent with our message there that our goal for our redevelopment program is to really unlock the highest and best use of the asset, and a lot of what we are working on in putting the entitlements in place to add density. So when we look at future projects, we always will have to see what was the supply and demand is in the certain area that we are developing and understand the different risks involved with the projects and ultimately the return on our investment. So for now we have identified two projects that are active, our Pentagon and our Lincoln Square projects. And we continue to look through the portfolio for future opportunities and continue to look at the highest and best use of the real estate.
Unidentified Analyst: Thanks. And just as a follow up to that, can you talk about, what types of qualities do you look for in a partner when you are looking at a mix use project to handle the residential component?
Conor Flynn: Absolutely. Typically what we do is we look for a partner that’s a local expert, someone that has a great track record. Someone that has product in the close proximity where they can use that to their advantage and understand the market inside and out. We understand that. We are the retail experts. So what we bring to the table is really a showcase of what we are doing at Lincoln Square where we were able to use our expertise to negotiate and execute the deals with Target, PetSmart and others. And so we really want to focus the JV strategy on mixed use with partnering with the best-in-class in that local jurisdiction.
Operator: Our next question comes from Nick Yulico from UBS. Please go ahead.
Unidentified Analyst: This is [Greg] [ph] on for Nick. Just a quick question about the re-leasing spreads and TI spend. I was just wondering if you could elaborate on the difference between redevelopment versus TI and landlord cost.
Conor Flynn: Our redevelopment is very self-explanatory. We use the definition where we are changing the square footage on the site plan. We that that’s the simplest definition that makes sense. So that’s why redevelopment has a category unto itself regarding TI and CapEx spend. Whereas if it's a renewal or an option, that’s really an in-place tenant that we are working with to keep in place and to extend term with.
Unidentified Analyst: Right. Okay. And so even though the [GLA] [ph] is changing, this is still being considered for that re-leasing spread then?
Ross Cooper: For the [GLA] [ph] is changing.
Unidentified Analyst: In terms of new rent.
Ross Cooper: The GLA is changing. It will be redevelopment and then we will account it as -- yes. And if it's a new lease then it will be a new lease. If it's a renewal, typically those are not counted in renewal spreads.
Operator: Our next question comes from Christy McElroy from Citi. Please go ahead.
Christy McElroy: Glenn, I just wanted to follow up on your comments on same store NOI growth and how you are thinking about the rest of the year. Specifically on Q2, how could the growth rate be impacted by some of the moving parts last year with Sports Authority and the reversal of some of the bad debt there. And then just looking into the back half of the year, you have your full year range, but just given all the uncertainty in the environment and everything we have been hearing about store closings and bankruptcies, how could that be impacted potentially by some of the stuff that you know about versus what you don’t know about? And maybe as you go into further in the year and there is maybe some rent [relief] [ph] negotiations to consider there.
Glenn Cohen: Sure, Christy. As I mentioned in my opening remarks, we remain confident in our guidance range of the 2% to 3% level. As we look and also as I said, as we mentioned, in the second quarter there will be an impact related to Sports Authority. The Sports Authority impact in the second quarter has a negative impact of about 225 basis points. So when you take that in over the full year, it averages around 56 basis point on a quarterly basis. That already is baked into your credit loss analysis for the full year, which is why we remain confident about where we are. As long as there is not massive bankruptcies which we don’t expect, we have accounted for the store closings that we see already. So we remain confident that we will make our 2% to 3% range for the full year. The second quarter though will be impacted. It's going to be very muted because you are starting with a negative 225 basis point decline to start with. So it's going to be lower definitely in the second quarter but as we go through the backend of the year, it definitely improves in the third quarter and fourth quarter.
Christy McElroy: Okay. And then just sort of apart from, you know some of the bankruptcy stuff that we have seen. Have you seen any change in sort of the rate at which some of the larger format retailers are renewing space or exercising their options? And then on the demand side, have you seen any change in demand from retailers that are expanding and have opened to buys. Is there any slowing of that pace?
Conor Flynn: It's a good question, Christy. I think when we look at our portfolio, we have not experienced any change of demand from our retailer base. It's clearly driven by a few categories that are the shining stars in retail today. I mean off price we have talked about, TJX, Ross, Burlington, Nordstrom Rack. Those are really driving forces for us. And then you include the fitness category and the specialty grocers that are taking new deals today. We have not seen any rent relief requests of any material size throughout the portfolio, which is really a great indicator to show how strong the portfolio is operating. And one of the best things I could tell you, when we look at our five Sports Authority leases that we backfilled this quarter, there were five different tenants that took the spaces. So that just shows the diversity of the demand that we are dealing with. And when we look at our pipeline, we think that that absorption rate is just continuing to build momentum through the rest of the year.
Operator: Our next question comes from Wes Golladay of RBC Capital Markets. Please go ahead.
Wes Golladay: When you look at what you have baked in for the tenant environment for the rest of the year, are you expecting more liquidations or just more of a Chapter 11 environment?
Conor Flynn: We anticipate that it will be more of a restructuring going on with some of the tenants that have already filed. H.H. Gregg, obviously one that we anticipated and that will probably be. We were anticipating getting all eight of those back. So we have planned accordingly for the store closures that have been announced and we continue to see strong demand. So we feel like we are in a good position.
Wes Golladay: Okay. And then with H.H. Gregg, it looks like it was in Avenues Walk. Was that just a legacy project or are you still working with [tenants] [ph] that could be on the watch list for your development pipeline?
Conor Flynn: That was back in 2008, so you are spot on there. We continue to work on leases there to try and backfill that spot.
Operator: Our next question comes from Daniel Santos from Sandler O' Neill. Please go ahead.
Daniel Santos: My first question is, just generally speaking, how can we sort of reconcile your strong leasing stats with what the never ending sort of negative retail headline.
Conor Flynn: You know when you look past the retail headlines, I think you got to look at the categories of retail that are thriving. And it's really the off price segment that really has perfected the treasure hunt. When you look at TJX and their release, they talk about how their traffic is actually increasing when you look at what Home Depot and Lowe's are doing in the home improvement section, it's really impressive in how they have integrated the online channels with the physical brick and mortar. When you look at what Wal-Mart has done with taking advantage of their physical stores and announcing really pricing power that if you shift online order to the store, you actually get a further discount which is the first move I think in terms of our physical brick and mortars taking advantage of their network of stores. So, again, it's obviously, there is a lot of headlines out there regarding certain categories. And beauty is another, just perfect example of -- just look what [Alta] [ph] and Sephora are doing, and then you layer in fitness and some of the health and wellness and medical categories. It's clear that we are shifting more towards service, restaurants, food, things that are driving traffic to the shopping center and that’s where we are positioned to really take advantage of it.
Daniel Santos: That’s as a sort of follow up to that. Over the last few years we have seen a lot of retailers invest in their Internet presence. Have you seen those dollars come back to the physical stores or are they still mainly focusing on the Internet?
Conor Flynn: There is still a balance right now where retailers are trying to figure out the right balance of where to invest their dollars. All the retailers acknowledge that their physical store base is where they are most profitable but they realize they need to have that offering to remove any pain points in the shopping experienced. And so when you look at Home Depot and when you look at Lowe's, they have been investing heavily yet also investing in the physical store. So there is a balance I think that a few of our retailers have found. And I think they are going to be setting the model going forward to how to really integrate and how to be able to take advantage of both channels.
Operator: Our next question comes from Collin Mings of Raymond James. Please go ahead.
Collin Mings: First question. Glenn, can you just update us on how you are thinking about the preferreds that are callable this year?
Glenn Cohen: Sure. So we have three preferreds. One is at 6% for $400 million, one is at 5.5% for $225 million, and one is a $175 million at 5.58%. If you look at where the preferred market is today for us, we are probably, if we went to it, it's probably around 5.5%. So there is really not a whole lot of GAAP or upside in redeeming one preferred for the other. More importantly what we are focused on is, we have all this optionality and at the right time where the capital is available, we will use it to redeem those preferreds and that will help to reduce overall debt levels including preferreds over time. Which is really part of the 2020 vision, which we think will help lead towards -- being put on positive outlook and an upgrade at some point by the time we get to 2020.
Collin Mings: Okay. And then just switching gears. As far as, one of your peers earlier this week discussed opportunities rally to de-box some properties to free up some more small shop space. Just curious, as you think about your redevelopment pipeline, Conor, just how do you see opportunities there and how you are kind of positioning your redevelopment pipeline and do you kind of agree with that mindset that there could be some more opportunities to debox some properties.
Conor Flynn: It's all very, very location specific. Clearly, if there isn't a demand for a box in a certain location, you've got to look at alternatives. What we found is that we have plenty of activity in our redevelopment pipeline to show that whether it's off price, grocery, fitness, to take advantage of the space that we are creating in addition to what's existing on the property. So it's all location specific and again it's really what the highest and best return is on that location. We don’t have many de-boxing activities going on today. It's something we look at constantly. But, again, when we look at our portfolio, we think that our redevelopments are well-positioned to take advantage of really the sweet spot of retail today.
Operator: [Operator Instructions] Our next question comes from Richard Hill of Morgan Stanley. Please go ahead.
Ronald Kamdem: This is Ronald Kamdem on Richard Hill's line. Was just curious, just looking for a high level commentary on cap rates on assets. Obviously you guys have a disposition guidance this year and looking for a 7% blended cap rate. Just if you can provide any color of what you are seeing specifically in secondary and tertiary markets. What's the trajectory for cap rates? Thanks.
Ross Cooper: Sure. Happy to answer that. As we look at the cap rates particularly in those markets, they have been relatively stable. I think we have mentioned over the last few quarters that they were shifting a little bit higher. We have not seen any material change at the beginning part of this year. There is still plenty of demand from private buyers and institutions that are looking to take advantage of a bit of an arbitrage opportunity. So as we mentioned, I mean in the first quarter we hit around mid-7s on our cap rates. We have several deals in the pipeline that we expect to close in the second and third quarters that are in some cases 6 and below. So there is no doubt that there is interest level even outside of the core markets. Now when you do look at the core markets, those have been extremely aggressively priced and a few examples, whether it be power or grocery, we have seen in Dallas and Chicago, power centers in the low 5 cap range. We have seen grocery in Maryland and Irving, Texas, in the 4s and 5s. Lifestyle kind of power center in Philadelphia just transacted at a flat 4 cap. So there is extreme demand and limited supply for high quality real estate and we are seeing plenty of activity on the secondary and tertiary markets as well.
Ronald Kamdem: Great. And the second one that's really quick from me is just updated thoughts on just Albertsons and what your outlook is there. Thanks.
Ray Edwards: Hi, this is Ray. With respect to Albertsons, really it's been no change. We are still focused the company on executing the IPO at the right time. Fortunately, we have very strong business at about $2.8 billion, $2.9 billion of EBITDA and about $0.5 billion of free cash flow last year. So we are very comfortable with the business. It's running very well and it's getting past the headwinds of deflation. And so we are optimistic that in the near-term we will likely be on way to monetize the investment.
Operator: [Operator Instructions] Our next question comes from Nikita Bely from J.P. Morgan. Please go ahead.
Nikita Bely: Can you talk a little bit about the pace of development in lease-up and given the environment, has it slowed at all in last couple of months in last quarter or so.
Ross Cooper: Happy to. We actually haven't seen any slowdown in our development projects. Now each of our development projects has a special case of why we think it's appropriate to take on the development process and the strength of the underlying real estate I think is why there hasn’t been a slowdown. And when you look at the supply coming online, it's very very muted. I mean we are at 38 year lows in terms of new supply coming online. And so when retailers are looking to grow store count, they are still sometimes challenged to find those opportunities, especially in markets where they are trying to penetrate. So we feel very good about the pipeline. The strength of the demand and the retailer base that we are working with to continue to pre-lease projects.
Nikita Bely: And maybe a little different question, different topic. What's your view on JVs in general? How do you look at them and in your view what are the advantages and disadvantages from their perspective of simplifying the company going forward.
Conor Flynn: Well, we did take on a massive simplification effort and have reduced our JVs dramatically from the previous high. We do think it's appropriate if a partner brings us a deal that we would not normally be able to take advantage of by ourselves then that situation, like a Lincoln Square is a perfect example of that, where we do believe a partner is valid and can add value to the property longer term. We also like to think that the Lincoln Square is a perfect example of partnership that enhances each other. We are not a multifamily expert, we acknowledge that. So we want to make sure that when we partner with someone, that’s the partner that enhances the project going forward. So those are the ones that we think make total sense.
Operator: Our next question comes from Greg Schweitzer of Deutsche Bank. Please go ahead.
Greg Schweitzer: I just wanted to get an update on the health of the grocery environment. Perhaps anything anecdotal from conversations you have been having and also how you are thinking about risk from the groceries? Both from moving to the mall near one of your centers with threats from the likes of Amazon.
Conor Flynn: When we look at our grocery business, obviously we are invested in Albertsons and Ray gave a quick recap there of the business and we think that they have a good business model and continue to battle through deflation but see it coming to an end in the near term. So other than that, when we look at the new deals we did for the quarter, we did a deal with Sprouts Farmers Market. We continue to see specialty grocers whether it's Trader Joe's or others, that really enhance the traffic generation at projects. And then the traditional grocers still are finding ways to create value. There has been a lot of consolidation whether it's Kroger or Albertsons and we continue to think that going forward is a great way for us to add a traffic driver to our locations that don’t have a grocery component. We are watching closely and working with [Ledo] [ph] that’s coming in this year. They are going to be a competitor and I think that there will be a nice new addition to some of our locations that don’t currently have a grocery component. But it's very competitive. We do see the strong, continuing to thrive publics, is another great example of one that continues to dominate. And depending on the location, we think our portfolio has a lot of opportunity to continue to add grocery components.
Operator: There are no further questions. This concludes our question-and-answer session. I would like to turn the conference over to Mr. David Bujnicki for closing remarks.
David Bujnicki: Thanks, Bill. I would like to thank everybody for participating on our call today. More information is available on our Web site. Thanks so much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.